Operator: Good afternoon, ladies and gentlemen, and welcome to Guild Holdings Company's Fourth Quarter 2021 Earnings conference call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session with instructions to follow at that time. As a reminder, this call will be recorded. I would now like to turn the call over to Michael Kim, Investor Relations. Please go ahead, Michael.
Michael Kim: Thank you. And good afternoon, everyone. Before we begin, I'd like to remind everyone that comments on this conference call may contain certain forward-looking statements regarding the company's expected operating and financial performance for future periods, including the expected market for purchase loans and anticipated volumes and margins for the first quarter of 2022. These statements are based on the company's current expectations. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors that are described in greater detail under the section titled Risk Factors in Guild Form 10-K and 10-Q and in other reports filed with the U.S. Securities and Exchange Commission.  Additionally, today's remarks will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP financial measures to the corresponding GAAP measures can be found in our earnings release filed today with the SEC and are also available on Guild Investor Relations website. Participating in the call today are Chief Executive Officer Mary Ann McGarry, President Terry Schmidt, and Chief Financial Officer Amber Kramer. Now, I'd like to turn the call over to Mary Ann McGarry. Mary Ann.
Mary Ann McGarry: Thank you, Michael. Good afternoon, everyone, and thank you for joining us. As always, I'm joined by our President, Terry Schmidt, and our Chief Financial Officer, Amber Kramer. Our Chief Operating Officer, David Neylan, will join us for Q&A after our prepared remarks. I'm proud that the results scaled was able to deliver during the fourth quarter and full year of 2021. We originated nearly $9 billion of mortgage loans in the fourth quarter, bringing our full year total to approximately $37 billion; up 5% compared to 2020. Consistent with industry trends, our gain on sale margins softened through the course of the year. But we maintained higher margins relative to those typically generated in the wholesale or correspondent channels. In part, driven by our focused product and distribution strategies. Turning to our financial results. We generated adjusted net income of $22 million for the fourth quarter of 2021, and $259 million for the full year.  Adjusted earnings per share came in at $0.37 and $4.27 for the fourth quarter and full year respectively. And we delivered an adjusted return on equity ratio of 31% for the 2021, underlining the resiliency of our return profile across cycles. Stepping back, our consistent growth across cycles can be linked to two key differentiating factors for Guild. First, we have built a scale-enabled and balanced business. While rising interest rates represent a macro headwind for origination volumes and a gain on sale margins across the industry, our servicing business provides recurring revenue and cash flow, with higher interest rates compounding the value of the MSR assets on our balance sheet, all else equal. Second, our originations business is unique. While some of our peers have recently started shifting focus to purchase business as refinance activity flows and industry volumes increasingly shift in favor of purchased loans, we have been building the requisite scale, relationships, and expertise in purchase over the last 60 plus years.  What we are is a purchase-focused mortgage provider. Purchase loans accounted for 62% of our mortgage volumes in the fourth quarter, well above the 44% figure for the fourth quarter of 2020. From an industry perspective, purchase loans accounted for an estimated 47% of overall mortgage volumes in the fourth quarter of 2021 according to the Mortgage Bankers Association. Looking ahead, we're not immune to macro headwinds around rising interest rates and inventory limitations. That said, the MBA is forecasting steady growth in purchase volumes through 2023. And Guild has historically captured market share during periods of rising interest rates. Furthermore, unlike more commoditized refinancing lending, all purchased business isn't the same. Our durable competitive advantages include our product mix, brand equity, proprietary technology stack, and exceptional client service.  We compete on service by providing a personalized and customized experience to homebuyers. And the efficacy of our client service was recently validated by our J.D. Power award for highest in customer satisfaction in its 2021 study. This focus on customer service has resulted in more consistent volume across market cycles, while enhancing referral and retention rates. Turning to distribution. Our retail focused platform remains a key differentiating factor. We have local infrastructure and boots on the ground, which engender strong relationships and superior client service, which has expanded across the country following the acquisition of Residential Mortgage Services. When selecting a mortgage provider, our clients place a premium on the relationships and trust built with our loan officers over time. Our loan officer's expertise translates into putting clients in the right product.  We also stand to benefit from powerful demographic trends that will drive strong growth in purchase loans for years to come. Approximately 70 million millennial, age 20 to 34 are increasingly reaching the age when individuals typically transition from renting to owning. Millennial home-ownership rates still lag comparable data for Generation X and the Baby Boomers Generation, which we believe provides an opportunity for us to tap into the market for this demographic. These tailwinds aligned well with our longstanding focus on under-served and first-time homebuyers with our established retail loan officer network. For all these reasons and more, I am more confident than ever that Guild remains well-positioned to drive sustainable and profitable growth across various market backdrops. Finally, I want to thank all of our more than 5,000 employees for their continued hard work and dedication. It is their efforts every day that help us win new clients and maintain strong relationships with our existing clients. Which in turn drives consistent and durable growth. So, with that, I'd like to turn it over to our President, Terry Schmidt. Terry.
Terry Schmidt: Thanks. Marion is maryanne alluded to earlier, our balanced business model enhances in smooths our growth across cycles. Focusing on our servicing business, we delivered strong growth in unpaid principal balance and related revenue and earnings contributions during the fourth quarter and full-year of 2021. Which partially offset some of the declines in our origination revenue and thereby served as a natural hedge. As a reminder, our underlying servicing portfolio consists primarily of MSRs originated through our retail channel. In 2021, we retained servicing rights for 84% of total loans sold and our unpaid principal balance grew 18% in 2021 to 71 billion, driving a 22% increase in total servicing fees for the year. Now, stepping back, rising interest rates bonds well for our servicing business as prepayment speeds slow, thereby. I supporting the level of unpaid principal balances. Furthermore, higher rates lift the underlying value of our MSR assets on balance sheet by extending the duration of servicing cash flows with the markups running through the income statement.  Finally, our servicing platform strengthens client retention and recapture rates during the year ended December 312021. our purchase recapture rate increased by 6.4% to 32%, while our refinance recapture stayed relatively consistent at 63%. Much of the step-up in purchase recapture reflects the improving efficacy of our platform, technology, and analytics combined with the strong relationships our loan officers maintain with existing clientele. So, we remain focused on increasingly leveraging the synergies and diversification across our originations and servicing businesses to enhance our growth, while mitigating the volatility of our revenue and earnings in the short run and over time. I'll now turn the call over to our Chief Financial Officer, Amber Kramer, to discuss the financials in more detail. Amber?
Amber Kramer: Thank you, Terry. For the fourth quarter of 2021, we generated 8.8 billion of total in-house loan originations, compared to 10.6 billion in the prior year quarter. Net revenue totaled $343 million, compared to $454 million in the fourth quarter of 2020, while net income totaled $42 million, or $0.69 per diluted share. Year-over-year declines were mostly a function of lower origination volumes and tighter gain on sale margins. Adjusted net income totaled $22 million, or $0.37 per share, while adjusted EBITDA totaled $39 million for the fourth quarter. Aside from a $16.8 million favorable change in fair value of MSR due to higher interest rates during the quarter, adjusted figures also excluded a $13.6 million change in fair value of contingent liabilities due to acquisitions, primarily related to RMS. This is reflected as a benefit to G&A expense on the income statement.  That markdown of our contingent liability or earnout reflected softer volume and gain on sale margin trends at RMS, consistent with broader industry trends. Turning to our results for the full year 2021, total loan originations came in at $36.9 billion up 5% year-over-year. Net revenue totaled $1.6 billion just shy of the level in 2020, while net income totaled $284 million or $467 per diluted share. We generated $259 million of adjusted net income and $366 million of adjusted EBITDA for the year ended December 31, 2021 our financial results reinforce the resiliency of our financial model as we have remained profitable through mortgage cycles, are variable cost base flexes in conjunction with cyclical trends in origination volumes gain on sale margins, and revenue. Focusing on our origination segment for the fourth quarter, our gain on sale margin came in at 347 basis points on $8.8 billion of total funded origination down from 436 basis points on 10.6 billion of funded origination in the prior-year quarter.  Our gain on sale margin on pull-through adjusted lock volume was 394 basis points for the fourth quarter, up from 381 basis points in the third quarter with the step-up versus our funded margin primarily reflective of unfavorable fair value marks due to a reduction in lock volume at lower margins. Pull-through adjusted lock volume totaled $7.8 billion in the fourth quarter, down 25% quarter-over-quarter due to rising rates through the quarter and moving towards normalized seasonality. For context, is important to understand how our gain on sale margins differ from others and industry more broadly. While markets, rates, and capacity trends undoubtedly directionally impact profitability, we maintained higher gain on sale margins versus most publicly traded peers, reflecting our retail focus to originations model and disciplined pricing. Our purchase-focused approach means we are less susceptible to volatile refinancing volumes and our margins are less vulnerable to shifting channel mix dynamics.  We sourced nearly 100% of our volumes via our retail loan officers. We believe our retail loan officers are better equipped with our platform to pivot when market dynamic shifts. Turning to our servicing segment, we generated net income of $27 million in the fourth quarter, a reversal from a loss of $25 million in the fourth quarter of 2020, reflecting higher fees, a favorable inflection in MSR, fair value changes due to valuation assumptions, and lower expenses, primarily due to a lower provision for foreclosure losses in 2021. For the fourth quarter of 2021, we booked a $16.8 million gain, related to MSR fair value adjustments, compared to $11 million loss for the same quarter in 2020, primarily reflecting slower prepayment speeds. Next, we maintained a strong and liquid balance sheet as of the end of 2021, cash and cash equivalents, excluding funds used to pay down our warehouse lines, totaled $243 million while warehouse lines of credit totaled $3.5 billion with unused capacity of $1.5 billion.  Importantly, our book value per share was north of $15 as of December 31, 2021. While our tangible book value per share was $11.53. Looking ahead, our capital light business model and strong cash flow generation enhances capital allocation, optionality and flexibility. While we remain focused on funding originations and reinvesting in the business, we maintained ample excess cash to capitalize on strategically and financially compelling M&A opportunities as we have done in the past, most recently with the RMS acquisition. As is our standard practice. I'd like to provide some insights on gain on sale margins and intra -quarter origination volumes. We expect volumes and margins will both be adversely impacted by seasonal trends. In the first quarter of 2022 We delivered $3.9 billion of loan originations through the first two months of 2022, with total year-to-date pull-through adjusted lock volume of approximately $4.5 billion. Our estimated gain on sale through the first two months of 2022 was 415 basis points on funded volume and 357 basis points on pull-through adjusted lock volume.  Finally, we plan on filing our annual report on Form 10-K for the year ended December 31st, 2021 in the next few days. In connection with the preparation for our first year of stock compliance, certain internal control deficiencies were identified that represented a material weakness that required corrective and remedial actions. We are constantly reviewing our internal controls, control over financial reporting, and as part of our 404 assessment, we identified gaps in our controls. Based on these gaps, we evaluated their impact and concluded there is no impact on our financial statements. A remediation plan is in place. And with that, we'll open up the call for questions. Operator.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Trevor Cranston with JMP Securities. Please proceed with your question.
Trevor Cranston: Thanks. Good afternoon. I guess first question on the update you guys just gave for the first quarter. I think you said the gain and pull-through adjusted basis was 357 basis points for the quarter. And you're looking at the historical gain-on-sale numbers on Slide eight. That's obviously lower where they have been in recent history. Can you guys maybe just comment on what you're seeing in the competitive landscape, and if you think that margins could be below where they had historically bottomed out for some period of time and what you believe is driving that? Thanks.
Amber Kramer: Sure. Thanks, Trevor. This is Amber, so yes, as you can see, the basis points on pull-through adjusted lock volume is lower than the fourth quarter. And we are seeing competitive pressures on margin obviously, and we know we'll look at a local disciplined pricing approach and want to remain competitive. Typically, we have a longer gain on sale cycle. So, some other companies might be discussing stabilization, as we saw last year, we were on the back end of when gain on sale was dropping, so we're still seeing that decrease overall. We think that there's going to be continued pressure on margins. But now starting to see some of these companies finally shed some excess capacity will help. But their natural volume drops and the competitive nature and the volatility of the market is pushing those down right now.
Trevor Cranston: Okay, got you. That makes sense. You mentioned the impact on adjusted EPS from changing the contingent consideration in the fourth quarter quarter, which was related to the outlook for volumes and margins. I was curious. -- Can you remind me what goes into the valuation of the goodwill that's on the balance sheet and if -- you know future changes in -- the outlook for volumes and margins could potentially have an impact on the carrying value of goodwill at some point
Mary Ann McGarry: Sure. I mean, we do an overall impairment analysis as -- per our requirements, and so we would look at overall the expectation of the -- the asset of the goodwill. And there was no change to goodwill overall, and based on what we know now, we can't predict the future. But the liability and the earn out was specific to the volume and the gain on sale, but we don't see any impact to the goodwill based on our analysis that we've run.
Trevor Cranston: Okay. Got you. I appreciate the comment. Thank you.
Operator: Our next question comes from the line of Rick Shane with JP. Proceed with your question.
Rick Shane: Good afternoon, everybody. And thanks for taking my question. If we look at the run rate on the lock volume for the first quarter, and basically, the quarter's 13 weeks long, we're about 10 weeks in, and then we compare that to some of the addressable market estimates, it looks like you are suggesting worked share is declining in the first quarter. Is that what you think you're seeing in the market? Maybe just so -- what's driving that, given the shifts that we're seeing.
Mary Ann McGarry: Yes. So overall, our pull-through adjusted lock volume through February was that $4.5 billion. And right -- we're getting into more normal seasonality, where heavier purchases are lower purchase. The seasonality of purchase business is lower also in the winter. So, there's going to be some impact for that and there are some inventory constraints overall. So, where some people might be looking at refi specifically and not as much focused on purchase, that would affect that number overall.
Rick Shane: Got it. Okay. So, there's actually a seasonality to your market share given the origination mix?
Mary Ann McGarry: Yes.
Rick Shane: And do you think that as competition, is supply and demand is a little bit out of balance in terms of purchase during the first quarter that those further pressures gain on sale? Is at the other element that we're looking at? And the reason I ask is as we think about modeling through the rest of the year, we can think about seasonality in terms of market share. Should we think about seasonality in terms of gain on sale as well?
Amber Kramer: Yes. I mean, part of being in the purchase focus business is that we're not as susceptible for the refi rate changes. But overall, I think just as capacity is shed, there's going to be less pressure on margins longer term. I mean that all else equal because we don't know what's going to happen in the market. I don't think it's necessarily a direct correlation to the purchase seasonality business. I think it's some other changing of the environment and what brief purchase mix overall.
Rick Shane: And then I apologize for asking one more question, but specifically, what were the material weaknesses within the accounting framework? Just so we understand that better.
Amber Kramer: Well, first of all, I just want to make sure everyone understands, there's no impact to the financial statements. Everything that we presented in the past and in our K that we'll file and what we're presenting here, no impact. And we do have the remediation plan is in place. And there was mostly just implementation of stocks overall and a lot related just purely to documentation. So, controls were in place but not documented properly according to stocks, and which is why we haven't had any issues with our financial statements and the accuracy of them in the past.
Rick Shane: Okay. Thank you for the clarification.
Operator: [Operator Instructions] Our next question comes from the line of Galliano [Indiscernible] with Compass Point, please proceed with your question.
Giuliano Bologna: I guess starting off, were there as I was curious what you are capital honestly, if I can to reported cash number and liquidity side, is there a rough sense of how much you're buying down your warehouse lines. And our cash will be contributing into the warehouse lines to directly bring it down.
Mary Ann McGarry: Yes, it's about $45 million. So, you would gross cash up by that to get to the total number -- That's consistent with where we were prior quarter as well.
Giuliano Bologna: -And I guess thinking forward. I think curious if you're seeing any shift in the market environment from an M&A perspective. Obviously, as we're going through a normal-size across us and as margins have come back --closer to normalized levels. We're all stabilizes. I'm curious if you're seeing increased activity from a central platform for [Indiscernible]. And then from there, what your [Indiscernible] is and what type of platform to look at from an M&A perspective?
Terry Schmidt: Sure. I can answer that. This is Terry. We are seeing more activity. It's just starting up and so we're thinking that the pipeline will continue to grow over the next nine months, and we're still kind of focused on retail businesses. We like businesses that have a decent market share in their area and where they've got good leadership that want to stay, and we can take them to the next level under Guild 's platform. So, nothing has changed as far as what we're looking for. And yes, there we were seeing things starting to get more active and we're very interested.
Mary Ann McGarry: And has this Maryanne and just to add to that, historically, when we've been rising interest rate market and the shift from a refinance dominant market to a purchase, we always see opportunities so I wouldn't expect anything different
Giuliano Bologna: Related to that topic. I'd be curious if you think about certain dividends in 2021, thinking on capital term. Is there any change to this, a strong capital occurring? And then a follow-on to that is, if there's any appetite for share repurchases as part of that equation. Note, but -- surely are closer to tangible book value.
Terry Schmidt: Right now, there's no change to what we've done in the past. We're constantly assessing our liquidity and investing back in the business, looking at [Indiscernible] opportunities as well. We maintain a strong balance sheet and want to be in a good position, especially with the compressed margins that we're seeing. So, we'll continue to monitor our liquidity, and then assess quarterly with the board as we always have. If we believe that we don't have financial opportunities to invest in, then we would decide at that time if we would return capital to shareholders.
Giuliano Bologna: Thank you for answering my questions. And I'll jump back [Indiscernible]
Operator: We have a follow-up question from the line of Rick Shane from JP Morgan. Please proceed with your question.
Rick Shane: It didn't expect to get [Indiscernible], but so if we look at the gain on sales, 347, can you just just for us this aggregate, how much cash being on sale versus how much is capitalization of the MSR. So, we can understand that trend as well.
Mary Ann McGarry: Yes. So -- for our total gain on sale it's about 70% -- that we're getting in cash. -- The rest is gain on sale. So, we're coming in -- our cap rates are coming in around -- still around a 100 basis points. And then the rest would be cash.
Rick Shane: Got it. And were there any you had disclosed that about 80% of the volume was sold, servicing, retained. Were there any portfolio sales during the quarter as well?
Mary Ann McGarry: No. We didn't have our overall portfolio that we should show on the roll 4 and not include. We did get rid of our sub-servicing portfolios, but that's immaterial and only a footnote. So, we're not in the business of selling MSR. And we want to support our client for life strategy so we'll hang onto those. Overall, from a retained perspective, we also are still slightly impacted by RMS selling a 100-service released as part of fourth quarter. So, if we exclude that, we were still around the 89% service retained.
Rick Shane: Okay. Very helpful. Thank you, guys.
Operator: Go ahead. I'm sorry.
Mary Ann McGarry: Just to clarify that question, Rick, is when we were on-boarding RMS they were -- we were service-releasing the majority of their products but now that they are fully-boarded on Guild's platform, we're retaining more of the servicing. So, the goal was still to retain. Yes.
Operator: That is all the questions that are in queue. I'd like to hand the call back to management for closing remarks.
Mary Ann McGarry: Well, thank you for joining us today. And have a great evening and we look forward to updating you on our next call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.